Operator: Ladies and gentlemen, thank you for standing by, and welcome to Virtu Financial, Inc. 2025 first quarter results. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question and answer session. To ask a question during the session, you would need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would like now to turn the conference over to Andrew Smith, Head of Investor Relations. Please go ahead.
Andrew Smith: Thank you, Michelle, and good morning, everyone. Thank you for joining us. Our first quarter 2025 results were released this morning and are available on our website. With us today on this morning's call, we have Mr. Douglas Cifu, our Chief Executive Officer, Mr. Joseph Molluso, our Co-President and Co-Chief Operating Officer, and Ms. Cindy Lee, our Chief Financial Officer. We'll begin with prepared remarks and then take your questions. First, a few reminders. Today's call may include forward-looking statements, which represent Virtu Financial, Inc.'s current belief regarding future events and are therefore subject to risks, assumptions, and uncertainties which may be outside the company's control. Please note that our actual results and financial conditions may differ materially from what is indicated in these forward-looking statements. It is important to note that any forward-looking statements made on this call are based on information presently available to the company and we do not undertake to update or revise any forward-looking statements as new information becomes available. We refer you to disclaimers in our press release and encourage you to review the risk factors contained in our annual report on Form 10-K, and other public filings. During today's call, in addition to GAAP measures, we may refer to certain non-GAAP measures, including adjusted net trading income, adjusted net income, adjusted EBITDA, and adjusted EBITDA margin. These non-GAAP measures should be considered as supplemental to and not as superior to financial measures as reported in accordance with GAAP. We direct listeners to consult the investor portion of our website where you'll find additional supplemental information referred to on this call as well as reconciliation of non-GAAP measures to the equivalent GAAP term in the earnings materials. An explanation of why we deem this information meaningful as well as how management uses these metrics. And with that, I'd like to turn the call over to Doug.
Douglas Cifu: Thank you, Andrew, and good morning, everyone. Thank you for joining us this morning. In my remarks today, I will focus on Virtu Financial, Inc.'s first quarter 2025 financial and business performance and strategic initiatives. Following my remarks, Joe and Cindy will provide additional details on our results. This morning, we reported $1.30 of normalized EPS on total adjusted net trading income per day of $8.3 million. Quarterly EBITDA was $320 million and our EBITDA margin was a healthy 64%. This represents our highest net trading income per day since 2021, and reflects the continued long-term improvement of our core business as well as our benefit. As well as our expansion into new markets. Market making had its best quarter since the first quarter of 2021. Thanks to our continued enhancements, our retail wholesale business was strong and our global non-customer market making businesses continue to outperform our opportunity metrics. In particular, our non-customer global equities, digital asset, and ETN block market making franchises, delivered outside performances. This quarter demonstrates the benefits of our global diversified market making operations and highlights its ability to outperform separate and apart from the US retail wholesale business. In addition to our non-customer market making businesses in the US, Europe, and Asia Pacific equities and options, we make markets in energy products like crude oil and natural gas, currencies, digital assets, fixed income instruments, and a range of other commodities including precious and non-precious metals. All of which performed well during the quarter. We continue to extend our listed options business in Asia, India, and Japan, have expanded our coverage of tokens and venues and digital assets, and we are making strides in expanding our ETN block business in Europe. In addition, we had an outstanding quarter in metals given the total around tariffs, which has now been implemented. I point this out to unwind the fact that while our business does benefit from increased retail activity in the United States, we are also broadly diversified and levered to increase volumes, and volatility across asset classes and geographies. In addition to the strong performance of our market making businesses, the diverse strength of the firm was further evidenced by Virtu Execution Services' seventh straight quarter of increasing net trading income, a trend which has persisted through a range of both favorable and less favorable operating conditions. The VES suite of scalable, highly performing products has begun to resonate with our growing and impressive global buy-side and sell-side client list. We continue to make significant inroads through product penetration, and cross-selling. We believe our VES business has significant room to grow. Our product line is best in class and our position is rising on broker wheels. Successfully rolled out Virtu Technology Services or VTS, with more in the queue. We've deployed an agency fixed income RFQ platform to a handful of clients building a dealer network of almost twenty brokers on top of our client connectivity. In 2024, we delivered on our client significantly increase our sales prowess with a number of key hires further accelerating our growth in this space and the results have been noticeable. In addition, Virtu Capital Markets, which has been a pioneer in implementing at-the-market offerings for corporate issuers, to raise capital is off to a great start in 2025. What we call VES today is the combination of the Knight Execution Service business we acquired when we bought Knight and ITG's Global workflow analytics and connectivity franchise. Since acquiring those businesses, we've completely overhauled their respective technology platforms, and upgraded the entire suite of products from our outhouse deposit alert and our extremely valuable and now multi-asset class workload, and analytics products. The market penetration and adoption levels that VES is realizing today are the culmination of this hard work and our continued investments. Our VES products allow us to achieve deep integration to client workflows, resulting in growth of recurring and reoccurring revenue streams. In addition to these technological and product enhancements, we have also streamlined their operations. We do not break out bottom line results in our segment reporting. However, suffice to say, our EBITDA margin on these businesses are substantially higher and depending on the quarters as much as two times or more when we acquired. Given the outlined improvements in this business and the outlook and recent performance, we do not see any reason why in the medium term we cannot achieve a $2 million per day run rate for VES. Now let me comment on recent market activity. As you know, after the tariff and assets on April 2nd, global markets became extremely volatile. I want to make a handful of comments about the state of the market and our experience in the last few weeks. First and very importantly, despite some stresses, the market infrastructure performed exceedingly well. We saw no interruptions in our flows, no significant additives or liquidity concerns among any of our counterparties, which include the most important clearing houses, prime brokers, retail brokers, banks, and trading venues around the world. This performance is the culmination of years of shoring out the financial market infrastructure and sensible and prudent regulation for which we have always been an advocate. This reflects the lessons learned from prior market events that pilots have competition makes markets better by driving brokers, ATSs, exchanges to innovate, and invest in their systems. Second, our operational performance was outstanding. The past several weeks included the highest volume volatility days in Virtu Financial, Inc.'s history. Proud to say that we had no counterparty issues from a risk perspective or operational issues that prevented us from servicing clients. While naturally, we had increased margin requirements as we anticipated, our liquidity was more than sufficient to meet all association obligations. Looking at retail participation, as measured by retail shares and quoted spread, the first few weeks of the second quarter were well ahead of 2024 and the first quarter of 2025. Indeed, the last time we saw retail participation at these levels were the pandemic days of 2020. We remain as the best we have been since 2020, very bullish of long-term retail engagement. Of course, broader market volume will come down, but the most recent elevated levels have gone down as anticipated. However, if you look at the long-term trend of retail participation, we believe that the data shows a secular uptrend in retail engagement. In fact, if you look at the 605 share volume, the quoted spread over the last six years, you will notice that even after heightened activity in 2020 and in 2021, the market settled well above its pre-pandemic highs. Also noted several market trends including the strong new account opening figures from retail brokers that are indicative of the retail participation continuing apace at the new baseline levels. Following, I cannot conclude without commenting on our outlook both near term and long term. Without reiterating what I just said a few minutes ago, Virtu Financial, Inc. was built as a highly diversified market making business and further diversified business with the growth of its execution services businesses. The current environment is favorable for both our customer and non-customer market making businesses, and our execution services business as well. This has also been an excellent environment for our growing options business, digital asset business, as well as our ETF block business, which in recent days has handled a record number of requests for quotes and working orders from clients. In broad strokes, our growth is driven by three key forces, first, sharpening our edge to better capture opportunities within our existing businesses. Second, extending our edge into new products and markets, pushing them themselves are expanding, such as electronification of fixed income and the growing adoption of digital assets, and ETFs abroad. And third, we benefit from the broader tailwinds as market volumes and volatility drive thanks to our diverse global multi-asset class market making execution services platform. Which enables us to participate in both short and long-term trends wherever and whenever they emerge. Importantly, the first two drivers are within our control. Powered by our execution, innovation, and strategic investment regardless of how favorable or challenging the external environment it may be. I think especially in times like these, for our business, it's important to put these things into perspective. And note how expansive Virtu Financial, Inc.'s business has become over the years. With more on this point, I'd like to turn the conversation over to Joe Molluso for more commentary.
Joseph Molluso: Thank you. We thought it was an appropriate time to revisit briefly some analysis we had included in our supplemental materials and on our investor website in the past that are meant to provide some long-term perspective on Virtu Financial, Inc. and how we have grown business in a deliberate way over the years. So first, on slide eight in the supplemental materials, we went back to our IPO ten years ago and arranged this data from 2015 until the first quarter. And despite the inherent volatility in our business, there is a clear up and to the right skew to our results. The next slide on page nine is revisiting some perspective on how to analyze a Virtu Financial, Inc. business. Such as Virtu. The top of the page shows the sensitivity analysis based on adjusting the trading income. And the resulting EPS. We introduced the sensitivity analysis about five years ago and have been able to realize results that are consistent with this analysis due to the rigor we have around cost and capital management. Things we can control as opposed to the operating environment we obviously can't control. Our average daily pro forma net trading income going back to 2019 which was the first full year after the ITG acquisition, has been $6.3 million per day. So through the cycle, through all the ups and downs of different market cycles, our immediate performance translates into $6.3 million per day. Which extrapolate from the chart is $3.40 of adjusted EPS. So we have real growth in operating model as demonstrated over the long term. Which we are accelerating through our organic initiatives as seen in the middle of the slide. Now going back to what Doug said in his prepared remarks, while our business is volatile, we believe the pieces are in place to continue growing as we further enhance our capabilities, and as we extend our abilities to new products and markets. As he mentioned, we believe the VES could be a $2 million per day business through the cycle. Add to that the variable you have continuing contribution of our non-retail wholesaling business, and this means you should be able to raise a bar around cyclical troughs over time. The final component of this plan is our continued share buyback. The top line growth we have realized is significant. Enhances our bottom line given our operating leverage. Our share buyback program has and will continue to compound this earnings growth. You have a desire to look out two to three years, and even if you conclude that our business will continue to be volatile and produce a trough year at a given cycle, the cumulative impact of the share buybacks is profound. Baking in meaningful growth on top of any organic growth assumption you contemplate. And with that, I'm going to turn the call over to our CFO, Cindy Lee.
Cindy Lee: Thank you, Joe. Good morning, everyone. On slide three of our supplemental materials, we provided a summary of our quarterly performance. For the first quarter of 2025, our adjusted net trading income or NTI, which represents our trading gains net of deferred trading expenses, totaled $497 million or $8.3 million per day. Market making adjusted net trading income was $382 million or $6.4 million per day. Execution Services adjusted net income was $115 million or $1.9 million per day. Our first quarter 2025 normalized adjusted EPS was $1.30. Adjusted EBITDA was $320 million for the first quarter 2025, and our adjusted EBITDA margin was 64%. On slide twelve, we provided a summary of our operating expense results. For the first quarter of 2025. We reported $193 million of adjusted operating expenses. We continue to maintain an efficient cost structure and disciplined expense management. Which has helped us to control our operating expenses during an inflationary environment. Financing interest expense was $30 million with first quarter of 2025. With the benefit of our recent refinance and interest rate swap contracts that we've entered in the prior year. Our blended interest rate was approximately 7.1% for our long-term debt in aggregate. In Q1, we used a portion of our free cash flow to repurchase 1.3 million shares at an average price of $36.44 per share. A total of $48 million. To date, we have repurchased over 52 million shares. At an average price of $25.85 per share. For a total of $1.4 billion. Quarter end share count was 160.2 million shares outstanding. Since we initiated our share repurchase program, we have purchased over 18.9% of fully diluted shares of Virtu Financial, Inc., net after new issuances. We remain committed to our 24% reported dividend and combined with our share repurchase program demonstrates our continued commitment to return capital to our shareholders. Now, I would like to turn the call over to the operator for Q and A.
Operator: Thank you. As a reminder to ask a question, please press star one one on your telephone and wait for your name to be announced. To withdraw your question, please press star one one again. We do ask that you please limit to one question and one follow-up. And our first question is going to come from Chris Allen with Citi. Your line is open.
Chris Allen: Morning, everyone. Thanks for taking my question. Maybe just to start out, on the market making NTI, helpful comments just around the retail sustainability. But maybe when we think about it from a year-over-year perspective looking at the growth there, 40% year-over-year, can you help us think about well, the balance between the wholesale business and Beyond Exchange business. Was there a balance opportunity? Was there a skew? Like and also the contribution from the new organic growth initiatives just to help people think about the sustainability of the overall complex moving forward.
Douglas Cifu: Yeah. Yeah. Thank you. It's a great question, Chris. And, obviously, we've tried to be more front-footed about our views of sustainability and the cyclicality, if you will, of the retail business. And yeah, we obviously, as you know, don't break out customer versus non-customer market making and part of that is obviously it's a little bit competitive, but it's also you know, the businesses are not as separate and distinct as you would think. We've done a lot of great work over the last seven years, certainly within the last two to three years. In terms of actually making the bids work quite well together. We've done an exceptional amount that are I guess, success is the wrong word, incredible amount of internalization between the various trading groups that that involves the customer business in creating an internal central risk book of businesses. So the increase from Q4 to Q1 was pretty diverse and pretty evenly allocated, if you will, between the customer and non-customer business. So it wasn't as if we had some burst of activity in January, February, and March. In our virtual customer market making segment as opposed to the non-customer market making business. As I noted in the comments we had some really good days in our precious and non-precious metals business because of the fear of tariffs which came to be. Particularly copper and silver, platinum palladium, our options business did exceptionally well in the block ETF business. Which both is, you know, responding to anonymous orders queues, but also handling work or orders from customers did exceptionally well. I would say overall that the businesses were quite balanced and we were trying to emphasize the global diversification and asset scale in this business. I mean, obviously, we don't run away from our wholesale business. It's a great business. We inherited from Knight and we have improved it dramatically. We've integrated it with all of the other great things that Virtu Financial, Inc. had. And it continues to grow and integrate with all the product areas that we are getting into. Like, for example, you know, when we take customer orders now and crypto ETF, Visa, Bitcoin, Ethereum, and shortly Solana, you know, having the ability to market make that on non-customer side just makes our edge a lot more impressive. Joe, you wanna add?
Joseph Molluso: Yeah. I just wanted to frame to just underline one thing you said, Chris, in the question. When you said into the wholesaling retail business and then and then on exchange. Right? So we don't think about it as off exchange, on exchange. Right? We think about it as the retail wholesaling business and then, you know, kind of the non-customer business, as Doug said. Right? So it's really it's it is there is an equity component to it, but there's a US and non-US equity component. Know, pretty much all the growth initiatives, options, ETF block, you know, crypto, capital markets within the EPS, but most of those are non-equity businesses. And even some of the examples Doug gave, like, metal and foreign exchange and energy, you know, obviously, the distinction for us is not on exchange, off exchange. It's quote, unquote customer versus non-customer in and and and obviously, you know this, but they're multiple aspects.
Chris Allen: Appreciate that. And just on my one follow-up, just kinda noted continued improvement against the opportunity set. So where are we in kind of that continuous improvement? I realize that you have a lot of different areas you can kinda tighten it tighten the dials on. Do you still see room room room room in? Like, how does how does that how does it stand out current environment when things when obviously spreads widen out? Yeah. Is it more just the environment or just you see you actually can realize increased efficiencies with the environment as well.
Douglas Cifu: Yeah. I mean, it's a really good question. And we measure it, you know, in markets that are more benign and markets that are high. And you're right, like during times of volatility, particularly the last couple of weeks, you see people have urgency. So there's obviously a lot more spread crossing slow, and that's in our Nirvana for a market banker budget in terms of absolute performance and growth. And I sort of made this point in my prepared remarks, when that sure. We're very focused on new areas like options ETF block. Crypto, fixed income. But there's a continual and a lot of work being done to more of our I guess I'll call them our legacy businesses where we become just better and more performant. We've added strategies and predictors within our customer market banking segment. We've made our non-customer global equities market making businesses more efficient. I can't overemphasize that this is a single unitary firm. It really goes back to the DNA of Virtu Financial, Inc. We're a single firm. Don't have trading pods. Don't give out, you know, trading guarantees. We don't pay people based on books. So there's an enormous amount of collaboration within the firm, and that allows for internalization, which does a couple of things. It obviously makes you not pay exchange fees and clearing fees and things like that. So by definition, you're gonna be more profitable. But it also enables you to execute you know, without having to expose your intentions to the marketplace and so you can be more aggressive taking larger blocks. And provide better two-sided pricing to your clients. So that's a key key element to our success, and it was a big contributor in the first quarter.
Chris Allen: Thanks, guys. Appreciate the call, and good luck with the pilot stuff.
Douglas Cifu: Thank you very much.
Operator: And the next question comes from Dan Fannon with Jefferies. Your line is open.
Dan Fannon: Thanks. Good morning. Wanted to come back to the $2 million per day in the VES business. You know, kinda what gives you that confidence to say this now? You talked about a lot of diversity of products and hiring. So maybe I guess, where the momentum is, if you could be a little bit more specific in terms of that business and and and, you know, as you think about it, it's just more cross-selling more of the same or there are more things on the come that you expect to roll out?
Douglas Cifu: Yeah. Thank you, Dan. And, yes, we obviously don't typically give a, you know, forecast or, you know, talk about numbers like that. So we have a high degree of confidence based on a lot of the work that's difficult and a lot of great people in Virtu Execution Services have done in the last, you know, five to six years since we acquired ITG and Knight. And this was really the road map that we tried to lay out in 2019. When we made the decision strategically to become bigger in an execution services segment. And it's really a number of components, Dan, that adds up. So it's just a bunch of stakeholders. So it's our Virtu Technology Services platform, rolling it out to small to midsize broker dealers that need a technology solution and even asset management need a technology solution. We've seen huge adoption of that. You're right. There's a great deal of cross-selling. If someone's gonna take our Frontier global algo product they very often will take an analytics product, and then we try to sell and trade in our execution management system. We've made a huge amount of those enhancements and improvements to our workflow solutions and analytics solutions since the acquisition of ITG. Essentially replatform those and changed the guts of them they're a lot more performant in regular times and in bursts. We had, you know, I there was a single complaint about Triton. During this recent April I'm sure there were some, but we handled them. But, you know, there was no, you know, systemic or global issues. And that's a huge improvement that we've made those products multi-asset class. We are a big believer in distribution partnerships, so we're kind of agnostic. We're happy to have partner sell-side firms white label our products, and be, like, you know, a technology provider. And in addition, we've made a number of product enhancements. For example, we've got this great switcher algo product. Right? Is effectively like an algo of algo that uses real high-level machine learning and some artificial intelligence to route orders intelligently. We have an agency RFQ product now in fixed income, which was subsequent to marketplace was asking for. And as I mentioned earlier, we have multi-asset class strike analytics products. So you can go to a large asset management and say, hey. We can be a one-stop solution for your, you know, your credit traders, your equities traders, your fixed income peers, your fixed income peers. And so all of those, you know, one plus two plus three, you know, the singles that we're hitting, have really, you know, given us the confidence, if you will, in the results are, you know, the proof is in the pudding. And on top of that, you know, once we made a number of cultural changes, shall I say, within that business segment, we've really done a terrific job. Again, I guess Steve Ferrelli and the guy has a lot of credit. By having a number of strategic hires. This is ultimately a customer-facing business and customer service and understanding the products, you know, having folks in Virtu Execution Services even if they aren't software engineers, they need to understand the products and why.
Operator: Please standby. One moment. We are having a technical difficulty, so please stand by for one moment. Please stand by for one moment. We are experiencing a technical difficulty, so please stand by.
Andrew Smith: Yes. Okay. Are you ready to continue, sir?
Douglas Cifu: Yes. Yeah. Where did we drop? Ask Dan where we dropped.
Operator: It looks like that you were answering a question for Dan Fannon.
Douglas Cifu: Yeah. Okay. Thank you. Okay? Are we back live?
Operator: Yes. We are.
Douglas Cifu: Okay. Dan, I think I was pretty much done going through the four, five, six elements. I hope I answered your question. I don't know if you had a follow-up.
Dan Fannon: Yeah. Yeah. No. We got most of that, so appreciate it. Just as a follow-up, there obviously is a bunch of debate around the sustainability of retail, and you talked about what's been happening more recently. Just wanna make sure that there's nothing you're seeing, you know, from the flow or other parts of the market that would, you know, basically support this idea that retail is slowing or has the potential to slow in the short term?
Douglas Cifu: No. Yeah. It's a good question. Obviously, we try to be front-footed and address it not only in the script, but we provided it in the supplemental materials, you know, data. And the data doesn't lie. You know, sure, you know, you'll have as you will in non-customer segments, you'll have surges of interest. But you know, we've seen retail hasn't pulled back. We've seen a very healthy and sustainable level of retail engagement. You know, if you look at slide seven, you can see that, you know, the, you know, the baseline has elevated, and indeed, you know, the key retail brokers have indicated that their account openings have continued to grow apace. So like every part of the markets, you know, you'll have days where there's, you know, ten billion shares of retail come into the market and other days where there's two billion. But at the end of the day, the long-term positive trend here has continued. I think the data is very, very clear. I mean, that we provided in the supplemental materials. So I think that that narrative is frankly just incorrect and does is not supported by the data.
Dan Fannon: Great. Thank you.
Douglas Cifu: Thank you.
Operator: And the next question will come from Ken Worthington with JPMorgan. Your line is open.
Ken Worthington: Hi. Good morning. Thanks for taking the question. I wanted to maybe start on I guess, what I'll call the core non-customer market making business was hoping to get more color in terms of you know, to what extent that that business is sort of building and growing. So if it's if possible, you know, are you adding new symbols, new exchanges? Is it more hedge count? Is it additional capital? Are there other things that are getting the baseline in that business to grow? Or should we really just kinda go back to the other businesses that you talked about and focus on the growth and, you know, VES and the customer business, etcetera?
Douglas Cifu: Yeah. Yeah. It's a great question. Obviously, look, we struggle, you know, to provide as much information as we possibly can to you all to validate that. And every time I in my prepared remarks, I comment on whether we've and we're very self-critical, if you will, in terms of what should our performance be in terms of capture per unit, whether it's an FX payer Canada, a future or or an equity or in in in that digital assets and whatnot. And so, you know, we score ourselves every day, and I was very clear in our remarks that we in just about every non-customer market making segment that I can think of. And that is really the culmination of of a couple things. One, obviously, investing heavily in technology to make sure that in terms of not only in latency, in terms of execution, but throughput of market data and connectivity, that we are there. In equities, you know, there's not only now fifty in the United States, there's fifteen national securities exchanges. There's forty odd ATSs that we're connected to that we do quite well on, and we run a very significant single dealer platform. And so you know, streaming directly to customers and making sure that you manage toxicity and provide good execution quality to those customers. That's something that we strive for. Continue to improve on. And then lastly, and I've mentioned it now three or four times, it's enhancing internalization within the firm. So it's hard to understate how important it is and how vibrant I'll call our legacy businesses are. And over, you know, the last four or five years, we have seen a continual shift to the right of those businesses. You know, in the aggregate. Sure. Some will have better days, weeks, months, quarters, and years than others. But the notion that somehow those businesses are diminishing or not growing is is not correct. So we're very very focused on continuing to diversify our revenue streams. And add on to that, obviously, some of the new initiatives around options and ETF block which has grown pretty dramatically in digital assets. Joe, I don't know if you wanna wanna add.
Joseph Molluso: No. That that's what I mean, your question, Ken, you know, what what if we you know, with new products, new markets, I mean, I pretty much everything that we describe or have described in the past as an organic growth initiative is in this this this cap non-retail category. ETF block, digital assets, options.
Ken Worthington: Great. Thank you very much.
Douglas Cifu: Thanks, Ken.
Operator: And the next question comes from Craig Siegenthaler with Bank of America. Your line is open.
Eli: Good morning. Thanks for taking the question. This is Eli on for Craig. Can you update us on the product roadmap for your crypto business? Specifically, what exchanges are you providing liquidity on today? For what coins, and then how is that going to build out and?
Douglas Cifu: Yeah. Sure. I'm gonna try to be as specific as I can. I you know, I'm not the youngest guy in the world, so I can't keep track of all of these coin deal. I hear a young guy so you probably, you know, have a better handle on them. I mean, a lot of it really has been driven by our partners. So as you know, we're an investor in EDX. EDX has asked us to expand our coverage both in terms of coins and in terms of hours. So we are now a twenty-four by seven firm. You know, we're doing a lot more than the big three. So it's more than Bitcoin, Ethereum, and Solana. We're doing about a dozen or so coins moving to close to two dozen. Yeah. We won't go far out on the queue and do some of these I'll call them, you know, one-off meme coins because those don't seem appropriate. But anything that EDX and other partner firms like Coinbase, Bullish, I'm trying to think the other venues where to Binance. Sounds fine. Right. But sorry? Yeah. So okay. OKX. Andrew is updating me here. What other venues are we connected to? KX, Pivot, Kraken. Right. You go, Eli. In addition, we have now started a week like our VFX and VFI where we stream directly to counterparties. We have a VF crypto offering. We've made a couple of strategic hires in that area to build out more of what I will call institutional business. So streaming directly to buy-side firms either through our own API or using the auspice of one of the aforementioned exchanges. And then the last thing is that this business is a multi-asset class business, if you will, a multiproduct business because you know, every day you turn around, there's a new ETF that's about to be launched here in the United States. United States, thankfully. You'll have levered and inverse products, and then you'll have options on those products. We see the same thing in Europe and Canada. Little bit in Brazil and in Asia as well. And then there is perpetual futures as well that, like, EDX has launched, for example, on these products. So think of this as a multitude of coins ETF products globally. Futures products both listed and perpetual futures on other platforms, and then on top of that, we will offer a single deal institutional streaming as well. So we are I would say, kind of in the second inning, if you will, of a nine-inning game of building that out. We're happy to be a wholesale crypto liquidity provider and so, you know, this is gonna be no different, if you will, from our FX or other businesses that we've built out over the years. And the last thing is you know, to the extent there's institutional support for this business, there's no reason we couldn't support digital asset products, and we already have a road map for this. To the extent there's an investor demand on our Triton product. Right? So traders could access markets, you know, through our execution management system. And we're more than happy and prepared to have that service algo's to support that. So this is truly you know, a product or an asset class, if you will, that spans the firm.
Eli: Got it. Thank you. And and for a follow-up, there's been some news flow about you guys getting new competition in Virtu Technology Services with Citadel Securities and Jane Street. Both also looking to do more of that sort of outsourced trading business with sell-side firms. Can you talk a little bit about how you're offering stacks up against these competing solutions being rolled out by your competitors?
Douglas Cifu: Yeah. Yeah. That's a it's a really good question. Look. I mean, Citadel and Jane are both terrific firms run by great people, and we, you know, work frenemies, I guess. Right? Because we collaborate on the exchanges and regulatory matters. Right? So I have nothing but respect for both of those firms and their leadership. I've said that many, many, many times. I think that it's a very different product offering. Their offering is more of a white label RFQ product that connects to, like, a bank partner. Right? And, you know, we'll provide them with liquidity that their partner then could kind of repackage markup and share with their clients. That's a great business. It can be focused on, like, maybe one or two larger dealers. And it's a very, you know, it's a holistic partnership. We've done that before. We did that historically with the Bank of New York, and in FX, for example. It doesn't scale particularly well. It's very intensive. It obviously can be very profitable. Our business is completely different. It's an offering that is more of an agency aggregation tool. For smaller regional broker dealers and asset managers, and it's got know, it's more commoditized and it scales exceptionally well. And the benefit of that, obviously, is you have a larger addressable marketplace. It's more of a commoditized product that's easier to get out there and it's easier to support. And it provides us the benefit of being able to if we choose, and obviously, we generally choose to be a liquidity provider with respect to that broker dealer. But, again, we're gonna be Switzerland. So we're gonna allow them to access if they wanna access Citadel Jane Street, you know, Hudson River and all these other great firms. You know, that's that's their prerogative. We'll be a, you know, liquidity provider on a wheel. But it's really empowering firms that don't have the resources that we do. In order to execute, you know, to provide that capability to their end users opposed to, like, a single large partnership. So I think it's it's a very, very different approach and a very different philosophy and that's how I would distinguish.
Eli: Got it. Thank you.
Operator: I am showing no further questions at this time. I would now like to turn the call back over to Doug for closing remarks.
Douglas Cifu: Thank you everybody for joining us today, and we very much look forward to addressing the second quarter in July of this year. Thank you, everybody.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.